Operator: Good afternoon and welcome to the Rave Restaurant Group Inc. Third Quarter Earnings Conference Call . All participants will be on listen-only mode [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Tim Mullany, Chief Financial Officer. Please go ahead.
Tim Mullany: Okay, thank you, and good afternoon everyone and thank you for joining the Rave Restaurant Group quarterly earnings call for the third quarter of 2017. Everyone should have access to our third quarter fiscal 2017 earnings release that was released this morning, which can also be found at www.raverg.com in the Investor Relations section. Before we begin, I would like to remind everyone that part of our discussion today will include forward-looking statements. These forward-looking statements are not guarantees of future performance and therefore you should not put undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We refer all of you to our SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. Please note that during today’s conference call we will discuss certain non-GAAP financial measures which we believe to be used for evaluating our performance. Any discussion of such information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP and reconciliation of comparable GAAP measures is available in our release. With that I will turn it over to our Chief Executive Officer, Scott Crane.
Scott Crane: Thanks, Tim. Good afternoon everyone, so last quarter, we begin taking a lot of steps and I would say strong towards improving company profitability. After many quarters of challenging sales performance along with three industry trends as you know we remain confident that we have a strategy for long-term growth and I'm very, very confident of that. We are starting to see progress with initiatives that were launched last quarter which include online ordering, our mobile app and test of deliveries for specific locations and markets. These initiatives can exceed our planned expectations even with continued challenges in the overall landscape of the restaurant business. Utilizing our experienced team and building that we reevaluate many areas of business and just concluded a recent research that provides invaluable insight moving forward. At Pie Five we evaluated our restaurant portfolio and strategically departed underperforming markets in close locations as long-term negative sales trends. Our financial performance has been challenged by these restaurants they have significantly underperforms system wide averages. Our move to depart challenging markets will allows us to focus on improving sales direction and existing stores while continuing to support the ongoing growth of the system. Although we experienced an immediate financial impact associated with this approach we believe long-term it will strengthen our existing store base yielding positive effects on earnings. Based on our consumer research we would assist all areas of the counts including product and menu offerings. In the coming months we will be introducing new initiatives to drive sales that will add locations and increased incidence along with the technologies that will add order efficiencies as we've discussed in the past. The Pie Five system is continuing a steady development pace and we expect to continue that over the next quarter. During the quarter though Pie Five will open five franchise units. We also continue to see opportunities for non-trade government. We opened our second airport location at BWI Baltimore and believe that through our throughput technology makes Pie Five a great option for its leading growth, meanwhile Pizza Inn by the way which is very important continues to perform well with generally flat constant total system wide trends which is exciting to me. During the quarter we opened three new locations and we have been very pleased with renewed performance of new and remodeled units. We are enthusiastic about the growth path for our legacy brand. I am really pleased with the renewed energy in the Pizza Inn system and we are looking for to putting more resources to that. And I'll tell you that looking into next year the pipeline for Pizza Inn looks very exciting and I would say robust. Now, at Tim.
Tim Mullany: All right, thanks Scott. For the third quarter total revenues declined by 7.7% to $14.1 million driven by an average seven fewer operating company Pie Five locations opened compared to the same period of the past year and a decline in comparable restaurant sales at the Pie Five brand. As of the end of the quarter, we had 86 total domestic Pie Five units and 159 domestic Pizza Inn units with 60 international Pizza Inn units. Pie Five comparable restaurant sales decreased 15.8% with 50 restaurants in a comp base or 58% of total brand restaurant count. Pizza Inn domestic comparable restaurant sales increased to 0.1% with 142 restaurants in a comp based or 89% of domestic brand restaurant counts. The sales trends that we experienced at Pie Five and Pizza Inn in the third quarter generally have continued so far in this current quarter that we are in now. Pie Five total domestic retail sales increased 0.6% driven by growth within the franchise system. With a 39% growth in the average number of franchise units opened compared to a 20% decrease in the average number of the company units opened, in each case compared to the same period of the prior year. Consequently, franchise retail sales improved by $1.5 million for the same period over prior year versus company-owned unit retail sales decreasing $1.4 over the same period. So collectively a trade off from company to franchise system. Pizza Inn side domestic retail sales increased from $21.5 million to $22.1 million or 2.9% while our franchise buffet units which make up 92.2% of total system-wide sales increased by 2.2% which was offset by our lower volume Delco, Express locations in our single company-owned buffet store. Average number of franchise buffet locations increased from 92 to 94 in the current three-month period over prior year and average Delco Express units decreased from 68 to 63. Food and supply sales increased as percentage of total revenue by 6.2% to 61.8% while franchise revenue increased by 1.2% to 9.6%, compared to the same period of prior year. The remaining company restaurant sales revenue of 28.7% was 7.4% below the same period of prior year. Loss on sale of assets and increased general and administrative expenses had the greatest impact on overall net loss in the third quarter compared to the same period of prior year with an increase of $348,000 and $256,000 respectively. Restaurant operating cash flow decreased $0.3 million to $185,000 driven by fewer store weeks and sales deleveraging. As with prior quarter results Pie Five sales levels of newer company restaurants outside of the DFW market continue to be below average which combined with the decline in sales from all the corporate stores drove the decline in overall restaurant operating cash flow. Nine of those stores in the Chicago and Minneapolis markets has since been closed. Net loss increased $732,000 million to $2.0 million or $0.18 per diluted share compared to net loss of $1.2 million or $0.12 per diluted share in the prior year period. In addition to the impact of restaurant operating cash flow; losses on sales of assets and increased G&A expenses already discussed the company realized increased bad debt expense of $152,000 and legal fees of $102,000. The company did benefit from a decrease in pre-opening costs of $86,000. Adjusted EBITDA decreased in the third quarter to negative $1 million compared to negative $213,000 in the same period of the prior year primarily due to the decreases in the unit volumes, margin contraction at Pie Five company restaurants an increase in G&A costs and bad debt expenses as previously mentioned. At quarter end we had a cash balance of $2.4 million and $1 million of short-term debt. Year-to-date through the third fiscal quarter our cash used in operating activities was $3 million versus cash provided in the same period of prior year of $2.1 million. We had capital expenditures of $258,000 compared to $7.6 million in the same period of prior year and that is because we're we refocus our efforts on improving unit economics of our existing stores and exiting underperforming markets. Regarding cash flow from financing activities, we do not sell any stocks throughout the third quarter of fiscal 2017, but received $806,000 from proceeds of stock options a $1 million promissory note from our largest shareholder New Castle Partners and $2.9 million in proceeds from the issuance of convertible notes. On May 8, 2017, the company renewed an extended to promissory note on the same that held early as the September 1. 2017 or the company received an at least the $2 million in additional debt or equity capital. The net proceeds of the convertible notes are intended to fund continued restaurant development activity and to provide working capital for general corporate purposes. Management also believes it will likely require of the any required obtaining additional capital in the next 12 months. As a reminder, we disclose a great deal of brand-specific financial and operating performance in our quarterly earnings release tables and in our SEC filings. This information includes brand-specific comp and non-comp restaurant average unit volumes and income statement line item details and various explanations. Our Form 10-Q filed with the SEC earlier today. In closing, we anticipated rather the third quarter of 2017 to be challenging and in fact we are proactively driving many of the change that there are significant non-recurring expense. We remain energized with the opportunities that we see ahead for both brands and looks forward to improving the overall profitability of rates. While we have now exited our auto performing company markets, we are focused on fine tuning our overall brand appeal and revitalizing top line sales growth. With that I would open it up for questions.
Operator: At this time I am showing no questions. I'll conclude the question and answer session as well as today's conference. We thank you for attending the presentation and you may now disconnect your lines.